Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Inc.’sthird quarter fiscal 2007 results conference call. (Operator Instructions) Iwould now like to turn the call over to Leona Hobbs, Director of Communicationsfor Tucows Inc. Please go ahead, Ms. Hobbs.
Leona Hobbs: Thank you, Operator. Good afternoon, everyone and thank youfor joining us for today’s call. With me is Elliot Noss, our President and ChiefExecutive Officer; and Michael Cooperman, our Chief Financial Officer. Earlier this afternoon, Tucows issued a news releasereporting the company’s results for the third quarter of fiscal 2007 endedSeptember 30, 2007. The news release and other information for investors isavailable by going to about.tucows.com and clicking on investors. Before we begin today, I would like to point out that thematters we will be discussing include forward-looking statements and as such,are subject to risks and uncertainties that would cause actual results todiffer materially. These risk factors are described in detail in our documentsfiled with the SEC; specifically, the most recent reports on Form 10-K and10-Q. We urge you to read our securities filings for a fulldescription of the risk factors applicable to our business. I would now like to turn the call over to Elliot.
Elliot Noss: Thank you, Leona. Good afternoon and thanks for joining ustoday. For today’s call, I’ll begin with an overview of our performance andsome of the highlights from the third quarter. Mike will then provide adetailed review of our financial results, and I’ll close the call with adiscussion of the significant growth opportunities in front of us beforeopening the call up to questions. Let me begin with the financial highlights for the quarter.Cash flow from operations remains solid at $2.3 million, marking our 24thconsecutive quarter in positive territory, subject to the caveats I’ve discussedon previous calls. At the bottom line, adjusted net income was $1.1 million andwe incurred a net loss of $300,000. However, this does not include roughly$250,000 of integration costs following the IYD transaction. Revenue for the quarter grew 6% to $17.8 million compared tothe third quarter of last year. Despite the price decrease in traditionaldomain names and challenges around advertising revenue, which I will discusslater. Now, let me dig into the quarter in a little more detail.I’ll begin with our traditional domain registration business. As we discussedlast quarter, we made a strategic decision to implement a significant pricereduction on wholesale domain names, which we believe was the right thing to dofor the business over the long term and that we expect will bring backincreased growth, certainly in terms of units, but also likely in terms ofdollars. We knew when we did this that it was something that would bevery expensive in the short term but that the return over the long term wouldbe worth it. Early returns on that decision have been positive. We have seen an increased level of new customer sign-ups.They are up 15% compared to the third quarter of last year and up 55% comparedto the second quarter of this year. In addition, our renewal rate was up from alittle over 69% to nearly 72%. Before the price cut, when we would speak to potentialcustomers -- in other words, those doing business with our competitors, theywould tell us that they would prefer to be doing business with Tucows becauseof our focus on service providers and because of the way we handle our customerrelationships, but that we simply weren’t competitive enough around price. We are now much more price competitive and the feedback wehave received since we announced the price cut has reinforced our belief thatwe made the right decision. It is worth noting that even with the price cut,gross margin dollar contribution from domain registrations for the thirdquarter was still flat year over year. While it’s tough to identify with precision, we believe thatbut for the price cut, gross margin would have actually been up in the 10%range year over year and that would land inside our traditional view of 8% to12%. We again have started to market our traditional domainsoffering. We are talking to current and prospective customers about the pricecut, the benefits of our cost plus pricing model, and other benefits weprovide. Frankly, our position in the market is unique and we’ve got more workto do to educate our existing and prospective customers about these otherbenefits, and are in the process of doing so. We have undertaken to do a muchbetter job of messaging around this. All in, we are excited about our ability to re-energize thisbusiness and drive growth in the traditional domain registration revenue. In our non-traditional, or emerging domain names businesses,we are continuing to execute on our plan with three revenue streams from whichto drive growth. With respect to direct navigation revenue, our results for thethird quarter were somewhat disappointing primarily, as I have lamented in thepast, because our Google yields remained depressed. As many of you know, in August of this year, we brought in asenior resource to head up that line of business and one of his first tasks wasto look at our existing suppliers to look at what was available across theindustry and to engage in a process to find a much healthier supplierrelationship. That process has concluded and we are very pleased with the choiceswe have made. We believe these changes can have an immediate short-termimpact on our parking revenue, not only through the last month or two of thisyear but more importantly through the course of 2008 and beyond. We have chosen to proceed with multiple suppliers and tohave more flexibility in our supplier relationships. This is a very dynamicindustry and changes are both rapid and difficult to predict, and we felt thatthis flexibility was critical to allow us to be in a position to take advantageof the best opportunities at the right times. With respect to agency fees derived from premium names, thethird quarter was our first full quarter with this service in the marketplace.We now fully expect that this line of revenue would be growing. We have said in the past that the important work for thesecond half of 2007 and through 2008 is that of driving adoption through ourchannel. We spent the quarter communicating the opportunity to our largercustomers and the feedback has been extremely positive. We now have to work closely with our customers to help themroll out integration with premium names and to look for ways to make it easierfor them to integrate. In our e-mail business, our new e-mail service is nowcomfortably in the market and we now have what I believe to be the best salesteam we have ever had in the history of Tucows. They are aggressively workingat building a pipeline and are starting to experience the first benefits ofthat work. We always knew and have talked about that selling hostede-mail was a 120 to 180-day sales cycle and we are just now starting to comeout the back end of that cycle. We are making real progress in migrations fromour older e-mail and anti-spam systems to the new systems. This migrationserves two purposes that are of importance to investors. First, of course, the new service provides a much betterexperience for all of our existing customers, and second, the migrations willallow us to significantly reduce our data center footprint. For all of this year, we have had to carry the cost burdenof multiple systems. Moreover, the largest of these systems reside on oldhardware, which is extremely inefficient in its use of power and, as anyonefollowing Google and Microsoft knows, power has become the most importantoperating variable with respect to data centers. We expect these migrations to be completed early in 2008 andwe then expect to experience benefits at the expense level. Turning to our retail business, there are two things that Iwould like to note for the third quarter. First, we successfully integrated theoperating assets and customer base from the IYD transaction that closed inJuly. While we experienced the typical transaction costs that one wouldencounter in any transaction of this size, the integration went well and wassuccessful. We believe the integration has set the stage for us to offeraffiliate and co-branding offerings, not only to our existing customer base butmore importantly, to an additional segment of the market that we have beenunable to reach previously. Second, important progress has been made toward unifying aservice offering that right now is split across three separate brands due toour acquisitions. That unified brand will serve as a valuable learning ground. In addition, the retail business will provide us with animmediate opportunity to both learn from and take advantage of our surnames andpremium name offerings. The one significant disappointment in the quarter was thedecline in advertising revenues from the Tucows software libraries. Ourredesign has been well received by users. Customer engagement is up, and churnis down. However, the one place that has materially affected revenue is in themoney we earn from Google. We believe that the yield problems that are beingexperienced industry-wide are part of that, but the majority of the decline isdue to the increased usability and navigability of the site, such that nowusers are not giving up in frustration and clicking on the Google links, eitherin content or search, but are instead finding what they are looking for. That being said, these numbers are of concern to us and wehave decided to take a hard look at this business to determine the best way toproceed. I would now like to turn the call over to Mike to review ourfinancial results in more detail. Mike.
Michael Cooperman: Thanks, Elliot. As Elliot discussed earlier, the thirdquarter was another in which we achieved positive cash flow from operations. Itwas also one in which our results were dampened by a number of factors,including the impact of the price reduction on wholesale domain names and thedeclining yields from our Google ad feeds, which as we indicated last quarter,has had a short-term impact on both our top and bottom lines. Net revenue for the third quarter was $17.8 million, anincrease of 6% from $16.9 million for the corresponding quarter of last year.Net revenue from domain names and other Internet services increased by $1.2million, or 7% to $16.7 million from $15.6 million for the same quarter in2006. Revenue from domain registrations increased 9% to $12.3million, from $11.3 million and accounted for 69% of total revenue compared to67% for the third quarter of last year. While growth has been impacted by the price reduction in theshort-term, we do believe that we have better positioned this business forlonger term growth. Revenue from other Internet services increased by 3% to $4.4million from $4.3 million for the third quarter of last year, and represented25% of total revenue, down marginally from 26% for the third quarter of lastyear. Revenue from advertising and other content service sourcesfor the third quarter was $1.1 million compared to $1.3 million for the samequarter last year. As Elliot commented earlier, these results weredisappointing and were impacted by the declining yields from our Google adfeeds and, to a lesser extent, the decline in advertising revenue from theTucows software libraries. Advertising and other revenue as a proportion of total revenueincreased to 6% from 8% for the same quarter last year. Cost of revenues, including network cost for the thirdquarter, increased by 19% to $13.4 million from $11.2 million for the thirdquarter of last year, primarily as a result of higher costs associated with thelarge volume of domain name registrations and other Internet services of $1million. As we have discussed in the past, we have also been steadilybuilding our own portfolio of names and I would like to point out to you thatcost of sales for the third quarter of this year also included 144,000 ofrecognized renewal costs for these names. From an accounting standpoint, wedeferred the renewal cost at the time of purchase and amortize it ratably overthe term of the renewal. Cost of revenues also included an increase in network costsof $1 million. As Elliot mentioned, the bulk of the increase in network costsrelated to the additional cost burden we have had to carry with multiplesystems on our data centers. As we continue the process of migrating ourcustomers to our new e-mail platform, we will be able to reduce our overallfootprint at our data centers and the associated costs should decline fromcurrent levels. Cost of domain names as a proportion of total cost ofrevenues, including network costs, were 69% compared to 72% for the samequarter of last year, while the cost of other Internet services as a proportionof costs of revenues was 8% compared to 10%. Gross margin for the third quarter was 25% compared to 33%for the third quarter of last year and 36% for the second quarter of this year.The decrease in gross margin was the result of a combination of factors, themost important being the effect on network costs that carrying multipleplatforms have on our data center costs, the change in sales mix, increasedcosts associated with our portfolio of domain names, and the impact of theprice reduction on wholesale domain names. Total operating expenses for the third quarter decreased by9% or $518,000 to $5.1 million, or 29% of net revenue, from $5.6 million, or33% of net revenue for the same quarter of last year. Core operating expenses, which we define as those costsrelating to ongoing sales, marketing, development, and administrative costs,decreased by $497,000 to $4.7 million from $5.2 million for the third quarterof last year. The decrease was primarily the result of lower people costs as wecontinued to actively manage our cost structure. Core operating expenses as a percentage of net revenuedecreased to 27% from 31% for the third quarter of last year. Other operating expenses remained essentially flat comparedto the third quarter of last year at roughly $350,000. The result of increasesin other operating expenses being offset by a decrease of $398,000 in foreignexchange movements. The decrease was essentially offset by three factors. First,as a result of our acquisition of IYD, we incurred transitional costs of$244,000 during the quarter, primarily related to transitioning portions oftheir platform to our systems. Second, depreciation and amortization increased by $118,000,primarily as a result of the higher depreciation related to our new computerequipment and higher amortization, resulting from the IYD acquisition, as wellas the acquisitions we have made in prior years. And third, our stock-based compensation charge increased by$15,000 when compared to the third quarter of last year. Adjusted net income for the third quarter was $1.1 million,compared to $1.5 million for the third quarter of last year and included adividend of $531,000 that we received from Afilias, a company in which we holda 7% interest. I will note that we do not expect to receive any additional dividends from Afilias this year. Net loss for the quarter was $300,000, or less than $0.01 ashare, compared to net income of $1.9 million, or $0.03 a share for thecorresponding quarter of last year. When comparing profitability between thetwo periods, it should be noted that the third quarter of this year includedthe $244,000 transitional costs related to IYD that I mentioned earlier, andthe third quarter of last year included other income of $1.9 million related tothe contingent consideration associated with the sale in 2002 of patentsacquired through the reverse takeover of Infonautics in 2001 that were notrepeated. Turning to the balance sheet, cash, short-term investments,and restricted cash at the end of the third quarter compared to the end of thethird quarter last year, increased by $2.4 million to $6.2 million from $3.8million. Compared to the second quarter of this year, our cashposition was relatively unchanged. This result was due to our investing the$2.3 million of cash flow that we generated from operations, a partial paymentof the IYD acquisition. Of this amount, $1.1 million was placed in an escrowaccount to be held against certain performance contingencies being met by IYDby August 2008. I would also like to note for you that during the quarter,we entered into a non-revolving reducing credit facility with the Bank ofMontreal for $9.6 million that is repayable over five years to partially fundthe acquisition of IYD. Preferred revenue at the end of the third quarter grew to arecord $49.8 million, up 11% from $44.7 million at the end of the third quarterof fiscal 2006 and up 2% from $49 million at the end of the second quarter ofthis year. Please note that going forward, the negative impact ondeferred revenue that we will experience from the price reduction on wholesaledomain names will be partially offset by the additional contribution todeferred revenue from the IYD acquisition. In closing, as I have mentioned in the past, I would like toreiterate that our overriding goal for Tucows is to generate long-term growthfor the company. It is with this goal in mind that we have taken a number ofsteps in recent months that, while having an impact on our financial results inthe short-term, we believe strongly position us for future long-term growth. I would now like to turn the call back to Elliot.
Elliot Noss: Thanks, Mike. While we experienced some challenges that havesoftened our growth in the short-term, when looking at the evolution of ourbusiness throughout 2007 and where we are right now, I can’t help but be veryoptimistic about our future. We have a historical domain registration businessthat provides us with a good base of revenue, margin, and customerrelationships, and we have significant growth opportunities before us in ournon-traditional domain names and our hosted e-mail businesses. As noted in today’s press release, we now expect to generatebetween $8.5 million and $9 million this year in cash flow from operations.This is due to the softness in traditional domain names in the second quarter,the depressed advertising revenue I mentioned earlier, and the additional costsassociated with a more cautious approach to system migrations. This is not what we had hoped. This business is, the Tucowsbusiness is and has historically been very predictable and very reliable. Webelieve this is still the case and that the future holds great promise. With traditional domain names, we talked about some of thepositive indications we are seeing from our recent actions. I truly believethat this is the best that I have felt about the traditional domain namebusiness and our ability to make gains going forward since 2002 or 2003. It isthe case that we are starting to play offense again and doing so with a veryclear understanding as to how the traditional domain name business feeds thetwo high growth areas in the company. With respect to non-traditional domains, we have onlyrecently been provided with the opportunity to start to engage additionalpotential sources of supply. Some of you may have noticed that one of ourpartners, NameMedia, filed for an IPO last year. Their filing providesinvestors with a better look and a deeper understanding of the business ofselling premium domain names. Investors will now be able to appreciate theopportunity and to think about how to get involved. It is very important to note that while estimates are thatanywhere for one quarter to one-half of the dot-com name space, the mostlucrative name space in premium names, is held for resale but only a tinyfraction of those names are actually priced in a way that would allow them tobe sold as one would expect in an efficient market. In fact, even in our current [permutation] of premium names,it effectively only deals with names in the $1,000 to $5,000 price range, thusmassive segments of this market are still to evolve and be developed. And I repeat something that I have said before -- what theInternet is most effective at is bringing efficiency to inefficient markets.With this efficiency, every small business looking for a domain name, whichmeans every small business starting out, becomes a much more lucrativeopportunity for us and our resellers. In terms of selling names from our portfolio, we are makingprogress with respect to pricing more and more of our portfolio so that it canbe sold through the premium name service. Obviously we would rather get 100% of the sale from a namein our own portfolio than 10% or 20% of the sale from selling a third party’sname and we are getting a much better handle on the contents of our inventory.Where that distinction is especially important is in thinking about next year. Through the course of 2008, as was the case in 2007, on amonthly basis we will be increasing our inventory of premium names in the rangeof thousands per month. What we will be formalizing through 2008 is a veryclear view and process around the rate at which we turn our inventory. In summary there, we are very excited about theopportunities for non-traditional domain name revenues in 2008 and if 12 monthsago I could have seen where we are today, I would have been extremely pleased.In fact, I am very comfortable in saying where we are today has exceeded myexpectations for the year. It’s important to note here that the strategic decisions wemade to build our own inventory as opposed to monetizing on a monthly basisthrough auctions has proven to be the right choice. With hosted e-mail, we believe the competitive landscape isfavorable and our view, which is that our hosted e-mail offering is the onethat best allows service providers to compete effectively with Google, Yahoo!,and Microsoft, while providing e-mail without advertising and with a high levelof customer service, is properly placed in the market. This view is strongly validated by Yahoo!’s acquisition ofZimbra for $350 million. Anyone paying attention to what is being talked aboutin terms of Internet business these days would see so much about Facebook,about Google, and about the battle between those two that has clearly shaped upin just the last couple of weeks with Google’s announcement of it’s open socialstandards. What these companies are observing and responding to is asignificant validation of the way we view the world as it relates to theimportance of hosted e-mail to service providers. The Internet continues to provide greater and greaterutility to its users and, at the same time, it continues to be more and morecomplex, meaning users have a great need for someone to help them. It is still the case that the center of people’s Internetworld is e-mail and that service providers are in the best position to deliverit integrated with the rest of users’ Internet existence. All of this feedsdirectly into the potential for our hosted e-mail service and our surnameoffering to be big winners. We think that our place in the market and theassets at our disposal make us uniquely positioned to take advantage of it. In closing, we have had to deal with some short-termoperational challenges. We believe we have identified them, have dealt with orare in the process of dealing with them, and we feel extremely confident in ourlong-term growth prospects. The momentum we are experiencing in premium namesis clear and we expect to start experiencing similar momentum in hosted e-mail. We believe that both premium names and hosted e-mail are fantasticopportunities that we fully expect will reward investors in 2008. With that, I would like to open the call to questions.Operator.
Operator: (Operator Instructions) Your first question comes from ThanosMoschopoulos of BMO Capital Markets. Please go ahead.
ThanosMoschopoulos - BMO Capital Markets:
Elliot Noss: You wouldn’t see it there because customers would sign upand we wouldn’t have parsed that for, you know, what other transactions thatthose new customers have done. That would just be a slice of the data wewouldn’t have this early in terms of the results.
Thanos Moschopoulos -BMO Capital Markets: And the reduced pricing wouldn’t necessarily drive -- itwouldn’t change end customer transaction volumes because your partners wouldkeep pricing the same, [you would just get] the benefit, presumably?
Elliot Noss: Well, we do think that this may have been one of the thingsthat positively impacted on renewal rates. So in other words, the -- ourworking model is that some of our customers did choose to get a little moreaggressive on price and hopefully there lose less customers to some of thecompetition.
Thanos Moschopoulos -BMO Capital Markets: Okay, but in terms of actual transaction volumes, what didthat do year over year?
Elliot Noss: We’ll dig that up for you.
Thanos Moschopoulos -BMO Capital Markets: Okay. I guess while you’re digging that up, can youelaborate a bit further about the strategic changes you’ve made on the adbusiness as far as bringing on new suppliers? I mean, is it a situation wherebasically we can expect the yields to keep declining and you’ve managed toreduce the slope at which that occurs? Or do you think they might stabilizenow? Might there be actually some upside now that you’ve got some new partnerson board?
Elliot Noss: I want to make sure that I separate two things there. One isthe ad revenue around direct navigation and the other is the ad revenue aroundthe traditional Tucows.com software libraries. When we’re talking about new suppliers, that’s as it relatesto direct navigation. So there, one of the things that we were not able to takeadvantage of fully in our previous relationship was the ability to optimize.And we will immediately -- and we have very, very early returns and they arequite positive. So we are now seeing click-throughs increase materially andthat drives revenue. We’ll convert that into yield data again probably atmonth-end. The new relationship started in November, but when I’m talking aboutthose depressed Google yields, those are something we are seeing across theindustry with smart pricing and quality scores, and you may have heard thatdiscussed in some other forums. For us, as it relates to the direct navigation business, Iwant to make sure that I separate these two things, we think that the newsupplier relationships will lead to a near-immediate turnaround and a return togrowth. With respect to the historical Tucows.com business, wereally need to take a step back and figure out what next steps to take. Again, I’m very encouraged on the direct navigation side.
Thanos Moschopoulos -BMO Capital Markets: Okay, and presumably -- so as far as the existing Tucowsbusiness, that the yields wouldn’t go up there under new suppliers, just as afunction of how that operates?
Elliot Noss: No, because when we’re looking for new suppliers, that’s inthe direct navigation business. Remember that what those people are experts atis at optimizing a parked page, a direct navigation page. When you are dealingwith something on the content side, that’s the straight AdSense for search orAdSense for content feed. It’s just a typical, kind of ads by Google box yousee on a page.
Thanos Moschopoulos -BMO Capital Markets: I guess it’s kind of early to say, given that it happenedfairly recently, but what impacts if any are you seeing from the recent increasein ICANN fees?
Elliot Noss: Sorry, could you repeat it?
Thanos Moschopoulos -BMO Capital Markets: The recent increase in the registrar fees, what impact ifany are you seeing as far as the transaction volumes and so forth? Has that hadan impact on the industry?
Elliot Noss: You know, I’ll be very interested. I’ll be with a bunch ofpeople in the industry next week at an event. We got out -- from ourperspective, we got out in front of that. We insulated ourselves with both thechange -- with both the drop in price and the change in pricing methodology, sofor us, thankfully that was business as usual. Now, you know that we did kindof pay the price for that and we’ve talked lots about that, but we do thinkthat we are now insulated from that going forward. I’ll be very interested to hear next week what others in theindustry are saying. Transactions, Q306 about 1.2 million; Q307, up to 1.4million.
Thanos Moschopoulos -BMO Capital Markets: Okay. And I guess turning to something topical, the Canadiandollar, can you talk about -- remind us of your current forward position andthen I guess heading into ’08, how are you going to deal with the big increasewe’ve had in the currency?
Elliot Noss: We were hedged -- we are hedged through the end of ’07.That’s a hedge we put in place in November of ’06, and so it was veryfortuitous. I think us, like a lot of Canadian exporters, are going naked into’07. I think that what that’s led us to do -- you know, this isn’t news andwe’ve seen this coming, obviously, for the last number of months, and so we’vehad to be a lot smarter in the way we think about op-ex. We think that it’s ledto a lot of really good thinking and we don’t think it’s going to stand in theway of achieving real growth next year. We’re naked.
Thanos Moschopoulos -BMO Capital Markets: Okay. But I guess -- does that mean that heading into nextyear, are you going to have to do some cost rationalization or just kind offocus on growing while maintaining a very tight leash on your existing costs?
Elliot Noss: Well, I think that we -- we have already thought throughthose issues and I think that if you look at our op-ex lines, they are prettyimpressive in terms of cost control. We think that that is not only going tocontinue but get better through next year.
Thanos Moschopoulos -BMO Capital Markets: Okay. Now, Google a few months back entered your space asfar as providing services to service providers. Have you been seeing them atall or are they not really pursuing it in a big way from your perspective?
Elliot Noss: We have been seeing little tiny bits around the margins. Sowe have seen them in one or two customers poking at it, but frankly in the lastthree or four months, we haven’t seen much. We really think that their big pushthere will be at enterprise. Believe me, we are keeping our ear to the groundand our eyes peeled, but at the end of the day, they would be much moreeffective working through somebody like us than against us.
Thanos Moschopoulos -BMO Capital Markets: Okay, and can you dig a bit more deeply on the e-mailbusiness? You talked about how there are long sales cycles there, you are nowgetting towards the tail end of it. As you start to close business there, is itgoing to be a slow and steady ramp or is it a situation where you have somelarge deals in the pipe and it might be sort of lumpy growth, a step functionas you sign some of these?
Elliot Noss: There’s always a couple of large opportunities in the pipe,but we certainly are planning around slow and steady growth. We’ve started towrite some business now. We’ve started to deal with incoming new customers.There’s a new spring in the step around the sales group. I think that they have been, as I’ve talked in the past, toa great extent parked in the garage for a long period of time and they arequite happy to be out there hitting it again. And it shows. It is just -- I mean, it’s a pleasure to see and so I thinkwe will get back to growth and we fully expect ’08 to be a very good year forgrowth in hosted e-mail.
Thanos Moschopoulos -BMO Capital Markets: Okay. All right. Thank you. I’ll pass the line.
Operator: Your next question comes from Steven Wolfe of PlatinumPartners. Please go ahead.
Steven Wolfe -Platinum Partners: I wanted to get your thoughts on some of the new businessopportunities, certainly e-mail and premium names being the first real quarterthat you’ve seen some of that business now. Can you give us a little bit ofinsight as to qualitatively, what you saw in the quarter and what your thoughtsare for the next couple of quarters in that business?
Elliot Noss: Sure, and again, I think e-mail, I’d repeat what I just saidwhere the guys are out pitching again. They have started to write business,bringing home some meat back to the cave and I think that’s what sales guyslove to do, especially good ones. And you know, they are much happier becauseof it and of course, we are too, so we are feeling like we are on our waythere. In terms of premium names, it’s really -- it’s exceeding expectations.We are seeing all phases of this market evolve and evolve rapidly. Steven, Iknow you would like to dig into detail. I’d really encourage you to go checkout the NameMedia filing. There’s a lot of juicy information in there and it’sreally the first time publicly that people have been able to see some of thatinformation. There’s just great little stories on a weekly basis.Additions to our inventory, this quarter we for the first time sold some of ourown names through the premium marketplace. We are working with customers aroundtheir integrations there and around driving look-ups. There’s just a ton oflearning going on there. It’s become a very real part of this business and onethat’s really sprung from whole cloth if you go back to 2006.
Steven Wolfe -Platinum Partners: Certainly asset wise, I mean, you have 8 million domainnames under management. How does that compare with some of the other folks inthe industry?
Elliot Noss: There we’re -- I think we’re still slightly in fourth, maybestarting to chase third there, but what’s important is that the folks that arebigger than us there generally, and I think it’s true for most of the top sixor eight registrars, they have chosen to monetize their expiry stream throughauctions. Now, that choice will always make you more money in theshort run because what you have is essentially wholesalers, people likeNameMedia, looking through those options for buying opportunities that they canthen sell at retail. In other words, sell to a small business who is looking tostart up and get a domain name. We are now seeing the opportunities around selling to someof those business start-ups directly and it’s -- the difference between sellingat wholesale and selling at retail is three and four and sometimes 10 times. Sowe think that the asset that we have, as far as registrars go, is unique, atleast in terms of the way that people talk about their policies. Some people may have been doing some things surreptitiouslythat we wouldn’t know about and maybe their customers don’t know about, but tothe best of our knowledge, we’re the only ones who have built up this asset.
Steven Wolfe -Platinum Partners: All right, well, great.
Elliot Noss: I should note, remember that’s on top of the asset containedin our surname portfolio and in the premium names that we picked up in theNetIdentity transaction.
Steven Wolfe -Platinum Partners: Understood. Well, great. Thanks for the call.
Operator: (Operator Instructions) Mr. Noss, there are no furtherquestions at this time. Please continue.
Elliot Noss: Thank you, Operator and I look forward to speaking with allof you again on our next call.
Operator: Ladies and gentlemen, this concludes the conference call fortoday. Thank you for participating. Please disconnect your lines.